Operator: Good day, and thank you for standing by. Welcome to the Wag! 2Q '23 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to your speaker today, Dawn Francfort. Please go ahead.
Dawn Francfort: Good afternoon, everyone, and thank you for joining Wag! conference call to discuss our second quarter 2023 financial results. On the call today are Garrett Smallwood, Chief Executive Officer and Chairman; Adam Storm, President and Chief Product Officer; and Alec Davidian, Chief Financial Officer. Before we get started, please note that today's comments include forward-looking statements. These forward-looking statements are subject to risks and uncertainties and involve factors that could cause actual results to differ materially from those expressed or implied by such statements. A discussion of these risks and uncertainties are included in the SEC filings. Also, during the call, we may present both GAAP and non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release, which we issued today. The earnings release is available on the Investor Relations page of our website and is included in Exhibit and Form 8-K furnished to the SEC. Lastly, you can find our earnings presentation posted on our IR website and with the SEC. And with that, let me turn the call over to Garrett.
Garrett Smallwood: Good afternoon, and thank you for joining us today to discuss our financial performance for the second quarter of 2023. We are excited to announce another successful quarter for the Wag! team, beating expectations for both revenue and adjusted EBITDA, while achieving our highest service revenue quarter to-date and our first quarter of adjusted EBITDA profitability. This quarter further demonstrates that we are transforming the pet industry by becoming an all-inclusive trusted partner for the premium pet parent and capitalizing on the secular growth of pet ownership. We remain laser-focused on profitability for the remainder of 2023 and balancing growth and profit for 2024. To begin, I will provide a brief overview of our financial results for the second quarter. Following that, Adam, our President and Chief Product Officer will share updates on our strategic plans and key initiatives for the remainder of 2023 and beyond. Then Alec, our Chief Financial Officer, will provide a more detailed analysis of our second quarter results, discuss our capital allocation priorities and present a revised adjusted EBITDA guidance for 2023, which we are increasing today. During the quarter, revenue grew 55% year-over-year to $19.8 million. The revenue growth was primarily driven by the success of our services business, fueled by the slow and steady return to office and the general stickiness of our community. We also saw continued strength in our wellness business, driven in part by the success of Paw Protect, the only pet insurance product in the U.S. with Instant Pay. We continue to grow our footprint in all corners of the pet care market with a focus on disciplined growth in order to achieve profitability. Our adjusted EBITDA was $0.1 million, an increase from a $0.9 million loss in the same period last year. As we navigate the dynamic macroeconomic landscape, our primary objective remains centered around achieving a sustainable equilibrium between growth, profit and margin. In the second quarter, platform participants increased to 549,000, an increase of 42% year-over-year and while premium penetration increased to 54%, significantly ahead of expectations. In the second quarter, our LTV to CAC ratio was a deliberate 10:1, which demonstrates our continued operational excellence and efficiency. Our second quarter organic user acquisition rate was more than 70%, which is a result of our focus on dynamic partnerships, a best-in-class experience and our referral program. On the supply side of the Wag! business, we maintain supply and demand equilibrium through a variable platform fee, which averaged $53.10 in the second quarter of '23. As we've mentioned before, we firmly believe that Wag! offers the best gig in America. And despite the current macroeconomic conditions, the demand for caregivers in our community remains robust. We anticipate that an increasing number of pet enthusiasts will choose to become pet caregivers with Wag! for the remainder of 2023 and beyond. In summary, the team at Wag! continues to execute against our goals and deliver strong and sustainable results. Our second quarter results demonstrate our ability to scale our platform faster and more profitably than anticipated and show the effectiveness of our strategy and business model to become the #1 platform for premium pet parents. Simply put, our team is out executing on the vision we laid out to the investment community more than a year ago as we are preparing to become a public company. And with that, I will turn the call over to Adam Storm to review our strategy for the remainder of 2023.
Adam Storm: Thanks, Garrett. I will once again walk through the 5 top level elements of our strategy to drive long-term shareholder value and profitable growth; one, accelerate growth in existing markets; two, expand premium subscription offerings; three, platform expansion; four, opportunistic M&A; and five, operating scale. One, accelerate growth in existing markets. As Garrett mentioned, the second quarter was our highest services revenue quarter to-date, driven by the slow and steady return to office trend and healthy consumer travel season. The castle back to work barometer is hovering just below 50%, and we expect that to tick upward slowly over the next 24 months. Two, expand premium subscription offerings. Our premium penetration rate, despite the increased pricing at $14.99 a month remained at a robust 54%, ahead of the target we set-out at the beginning of the year. Moving forward, we will continue to enhance the value of the Wag! premium bundle by introducing more benefits, forming additional partnerships and providing more exclusive offers. Three, platform expansion. Last quarter, we introduced the addition of pawprotect.com to our suite of wellness products. Wag! is the exclusive marketing partner of Paw Protect, the only pet insurance plan with Instant Pay. Paw Protect is the only brand in America to offer each consumer an interest-free, fee-free and credit check free line of credit to cover veterinary bills. We have successfully integrated Paw Protect into the petted pet insurance marketplace demonstrated by impressive growth in the second quarter. During the quarter, Paw Protect policies grew to 7,700 and achieved an NPS score of 90 plus, demonstrating our Pet Parents overall delight with the product. During the quarter, we also launched Wag! Pro to help pet lovers build successful pet care businesses on Wag!. Wag! Pro caters to the needs of passionate pet care professionals, recognizing their invaluable contribution to the welfare and happiness of pets across the nation. Wag! Pro members enjoy features, including express onboarding, priority approval and placement in the marketplace, expanded reach, enhanced earning opportunities and exclusive learning resources. As the demand for reliable and trustworthy pet care continues to grow, Wag! Pro steps forward as the ultimate solution for connecting skilled caregivers with pet parents in need. The successful rollout of Wag! Pro demonstrates our commitment to offering the highest quality platform for pet care givers and pet parents alike. We believe Wag! Pro is a unique and evolving offering that will enhance our platform and deliver long-term value to the community. Fourth, opportunistic M&A. Wag! is strategically positioned to leverage pet-specific M&A opportunities due to our ability to swiftly integrate new assets into our platform, supported by our deep understanding of the consumer and our technology-first DNA. At the beginning of the quarter, we acquired Maxbone, a top-tier digital platform for modern pet essentials. Maxbone expands Wag!'s reach into the premium pet supplies market and deepens our commitment to the needs of the premium pet parent. Wag! will continue to opportunistically evaluate deals as we look to expand our set of capabilities in 2023 and 2024. And while we're here, you should check out the new yellow collection on maxbone.com. Fifth, operating scale. This quarter, we saw operating margin improvement across all areas due to the positive impact of our unit economics and fixed cost operating leverage. Adjusted EBITDA margin improved substantially year-over-year from minus 7% to just under positive 1%, an 8 percentage point improvement. As we mentioned last quarter, 2023 continues to be a year of efficiency and focus on full year adjusted EBITDA profitability. This is achieved through efficient marketing payback cycle, continued operational excellence, platform integration and cross-sell and best-in-class customer experience. As seen in our updated guidance, we will be adjusted EBITDA profitable for full year 2023 and plan to be free cash flow positive by the middle of 2024. I will now turn the call over to Alec to discuss our second quarter financials in more detail.
Alec Davidian: Thanks, Adam. I am proud to say through the hard work and dedication of our excellent team, the growth of our footprint in all corners of the pet care market and our disciplined execution, we have taken the next step forward as a business for a progression to profitability, posting our first quarter of adjusted EBITDA profit this quarter. I'll begin with a review of our second quarter financial results, followed by our guidance, which we are raising again today. The second quarter exceeded our expectations across the board, with revenue of $19.8 million, up 55% from last year, driven by strength across all 3 revenue categories. Adjusted EBITDA profit of $0.1 million compared to an adjusted EBITDA loss of $900,000 a year ago, a $1 million improvement. Breaking down our 3 revenue categories. Service revenue was $6.2 million, growing 9% from Q2 last year, making this our largest service revenue quarter to-date. This is in the face of a continued slow and steady return to office trend and illustrates the general stickiness of our offering, together with the success of complementary offerings to core services such as Wag! Pro and Wag! Premium. Services also included normal amounts of e-commerce revenue for Maxbone, which we closed at the start of the quarter and credit package revenue. Wellness revenue was $12 million, increasing 69% from Q2 last year through providing best-in-class pet insurance and wellness plan comparison from the nation's top providers. Our product's ability to provide pet parents numerous real-time quotes puts us at the forefront of disrupting a fragmented pet insurance and wellness industry. Pet Food & Treats revenue, which is a new revenue category this year, the Dog Food Advisor was $1.6 million. Dog Food Advisor is one of the most trusted pet food review sites in existence, providing pet parents with unrivaled insights and analysis of pet foods for their very family members. In Q2, due to popular demand, we took the knowledge and success of Dog Food Advisor and launched Cat Food Advisor, the premier destination for pet parents and their very family members. With over 100 professionally reviewed pet products, including dry cat food, oil cat food, kitten-food and real-time recall alerts across the U.S. and Canada. Turning to expenses. Cost of revenue excluding depreciation and amortization, was flat year-over-year at $1.2 million and represents 6% of revenue, down from 9% a year ago. This is the output of a very thoughtful operational excellence in the scalability of our tech stack together with the implementation of AI to streamline our revenue-generating operations. Platform operations and support expense of $3.5 million or 18% of revenue, down from 24% a year ago. While non-revenue-generating platform operations and support functions remain a key backbone to the business, our operations have become highly efficient over the past year through redesign and use of AI tools to get [indiscernible]. Now the average pet parent receives more than 80% of their response is faster via AI with record CSAP. Sales and marketing expense of $10.8 million or 54% of revenue, up from 48% a year ago, but in line with prior quarter trends. We continue to see excellent opportunities to put dollars to work in sales and marketing as evidenced by our 10:1 LTV to CAC, but are maintaining a deliberate and thoughtful approach in order to drive profitability earlier than anticipated. G&A expense of $4.9 million or 25% of revenue, up from 19% a year ago. Comparing periods, Q2 2023 includes a one-time legal settlement cost of $500,000 and over $1 million of public company compliance costs that were not present in the prior year. Adjusting for these, G&A in Q2 '23 represents 16% of revenue. Looking to our balance sheet, we ended the second quarter with approximately $32 million in cash, cash equivalents and accounts receivables. Our balance sheet remains strong and sufficient to help us to continue to execute on our plan, which includes growing our existing business in a profitable manner, expanding our footprint in all corners of the pet care market through value-add acquisitions and bringing to market innovative new offerings. Moving to our guidance for '23. As Garrett mentioned, we are thrilled with another quarter of outsized growth. As a result, we have reevaluated our 2023 full year forecast. For the full year '23, we continue to reiterate total revenue in the range of $80 million to $84 million, as previously disclosed in March 2023 and an increase to our adjusted EBITDA guidance to a range of $0 million to $2 million, a $1 million improvement versus our prior forecast at the high-end of the range. For the third quarter, we expect total revenue in the range of $19 million to $20 million, which at the midpoint would be a 27% increase in revenue over Q3 '22, and $0 million to $1 million in adjusted EBITDA or a 208% improvement over Q3 '22 adjusted EBITDA at the midpoint. We continue to be thoughtful and consider of the macroeconomic environment and potential slowdown in consumer spending. We believe we have turned the corner in Q2 '23 and will be adjusted EBITDA positive in subsequent quarters and on an annual basis. Further, as Adam mentioned, we plan to be free cash flow positive by the middle of 2024, driven by our focus on robust unit economics and operational efficiency in '23 and beyond. Our financial guidance includes the following consideration. The forecast incorporates our internal target of the rule of 50, meaning a total of greater than 50% for revenue growth plus adjusted EBITDA margin for the full year. Severe weather affects service demand and holidays drive incremental overnight versus daytime service demand. Going forward, we expect a skew to overnight and daytime services depending on summer and holidays. Pet adoption during the holidays also affects pet insurance penetration and demand for wellness plans. We anticipate the continued growth in the pet industry, driven by factors such as rising pet ownership, pet insurance penetration and increasing demand for premium pet products and services will have a positive impact on our financial performance in '23, including on our entrance to Pet Food and Treats. General trends related to the state of the economy, interest rates and consumer confidence. We have factored in potential risks and opportunities related to these macroeconomic factors in order to accurately forecast our financial performance. We recognize that there may be a potential risk to our financial performance in '23, such as disruptions to global supply chain, changes in consumer behavior due to unexpected events such as delayed or imbalanced return to office, digital and performance marketing trends, the potential impact of AI and our ability to expand through partnerships. In summary, our strong quarter results illustrate how we have become an all-inclusive trusted partner for the premium pet parent and a key player in the pet community with a highly efficient and profitable business. Our intense focus on profitability and operational efficiencies in '23 position us well for profitable growth for the rest of the year and in '24 and beyond. And with that, we now welcome Q&A. Operator, can you kindly open it up for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Jason Helfstein with Oppenheimer.
Jason Helfstein: Two questions. One, so 10:1 LTV CAC is kind of insane. It's suggesting that you're leaving growth on the table to kind of protect capital, given that you're crossing over that EBITDA threshold. How are you thinking about leaning more into marketing at some point in the future? And then secondly, are you seeing any -- like how does the inflation headwinds on the pet insurance side impact you? Is it a positive? Because as premiums go up, you get kind of a cut of that on the lead? Just broad thoughts on how kind of some of the dynamics around pet insurance could impact you guys?
Garrett Smallwood: So first one, we agree that 10:1 LTV to CAC is pretty amazing and like we mentioned, deliberate. It's not a cash issue. It's more -- we just believe as we get more profitable, we'll deploy more capital into growth. We think that functionally going to be 2024 story. We grew 55% year-over-year. So it's just saving some gas, so to speak. Secondly, in terms of headwinds or tailwinds in terms of pet insurance and wellness plans, we have not seen a direct impact of inflation, although I would say we have 2 consumers in the marketplace. The first is the pet insurance companies themselves, we partner with to advertise their products. And the second one is the actual consumers purchasing the insurance. I think anything we've seen more of a sensitivity from the actual pet insurance companies rather than the consumer as a function of kind of the market dynamics.
Operator: Our next question comes from Tom White with D.A. Davidson.
Wyatt Swanson: This is Wyatt Swanson on for Tom. So I've got a question on your wellness segment. Can you talk a bit about how you're managing any risks in that business as it relates to revenue concentration? And what can you guys do to maybe diversify revenue streams in that segment over-time?
Garrett Smallwood: So wellness, just as a reminder, scaled much more quickly than we originally anticipated. That business went from a few million to tens of millions of revenue run rate very, very quickly. We just kind of saw the fast moving water and lead in quickly. We have a lot of customers in that business. So like I said earlier, we have kind of 2 customers on the face of it. One is the actual consumers purchasing patent insurance for the first time or re-upping or changing plans. The second one is the actual pet insurance companies. We work with something like 12 or more kind of major pet insurance companies in the U.S. And we just announced earlier today, we're actually expanding into Canada with that product base. So pretty well diversified in terms of the actual insurance companies. But really, our goal is just to make sure customers have the best choice for the pet insurance products, and that's really what's functionally going to drive the demand curve. So certainly, we're being thoughtful about the demand itself, where it's concentrated to but the customers ultimately have the choice, they're just kind of picking the products that they want. Second thing I would just add there is we are the exclusive marketing partner of Paw Protect, which we think is phenomenal pet insurance product. And hopefully, more and more consumers will like them. So a lot of choice for the consumer and hope they're going to find the right thing for them. I hope that answers your question.
Wyatt Swanson: And then just a follow-up. Could you update us on your latest thinking as it relates to the customer value proposition with lag premium as return to office continues to tick-up, how are you thinking about the current unit economics with that offering versus trying to maximize customer adoption of it?
Garrett Smallwood: Yeah. So I think we've said this before. The goal with Wag! Premium is to keep customers engaged in the platform. It's not so much a revenue-driving initiative. We found that certainly it was mispriced at the beginning of this year, which is why we raised prices to $14.99. The pet insurance actually got too high. Our thesis and kind of belief in the product has not changed. We continue to believe there is a reason for consumers to stay on the platform as participants of the Wag! ecosystem. And we're so convinced of that. We actually are rolling out similarly priced Pro tooling. So we mentioned earlier the pet caregiver pro subscription membership is something we're in the middle of testing and rolling out. So again, we need more reasons and believe there's more reasons to be a forever customer of the Wag! ecosystem or anything else.
Operator: Our next question comes from Matt Koranda with ROTH MKM.
Matt Koranda: Just wondered on the international expansion for pet insurance. Have you built much into the revenue guide that didn't necessarily go up for the full year, but do we build much in terms of revenue contribution from that expansion? And maybe just talk about sort of the size of the addressable market that you're entering internationally?
Garrett Smallwood: Yeah. So we think international is mostly upside. Canada pet insurance, I think something like 0.5 million pets growing kind of at 7% to 10%-ish outpacing general pet trends. We think there's a lot of room to run there. It's still early for us. We're just kind of getting our footing, but we certainly think international is interesting. And I generally think the things you'll see us launching now. So we just announced Cat Food Advisor, we just announced Wellness Canada are all kind of 2024 big bets, the things that we think are going to test now and lead into now and they'd be really driving forward in 2024. The business is growing at 55% year-on-year right now. Again, I think we're saving some gas in the tank, so to speak.
Matt Koranda: Got it. And then maybe for Alec, just on the adjusted EBITDA guidance up a touch, I know it's very minor, but are we just pulling through the second quarter outperformance? Is there something incremental that we should be assuming in terms of cost savings or margin expansion that we should be factoring in for the third and the fourth quarter?
Alec Davidian: No, I don't think so. I think Q2 is a representation of where we are today as the output of a number of things that I mentioned on the efficiencies that we've been able to achieve Q2 to-date, and I think we'll see those efficiencies with AI and automation through the rest of the year.
Matt Koranda: Okay. Got it. And maybe just one more on the platform participant number. Healthy growth year-over-year, but I did notice sequentially, it's down a bit. Any callouts just in terms of what's driving that number in the second quarter? And then I guess I did notice also that sales and marketing was down a bit sequentially. Did we pull back during the quarter for any notable reason? Maybe just speak to that and the platform participant number.
Adam Storm: Yeah. So we initially planned for Q1 and Q4 to kind of be the higher watermarks just as a function of wellness seasonality, Matt. As a reminder, last quarter, we did something like $20.6 million of revenue, this quarter it was $19.8 million. So you'll see just kind of sensitivity there with platform participants. It will just functionally match that. Your second question was sales and marketing was down. Yeah, I think we're just being very thoughtful about where we're deploying dollars right now as just a function of where we want to make incremental bets. And again, that was deliberate. You see it in LTV to CAC. We really want to just get to profitability, adjusted EBITDA profitability. It's not we're there. I think there's room to keep plugging along. But for us, the major watermark was can we get to adjusted EBITDA profitability a year ahead of time, and we did. So I think you'll see us kind of get back to where we want to go.
Operator: Our next question comes from Jack Cole with Craig Hallum.
Jack Cole: This is Jack on for Jeremy. First one from me. So could you just touch on what you're seeing in terms of return to office? I know Kastle Back to Work Barometer has been around like 45% to 50%. Do you guys still think that can get to like 70% long-term or what do you guys think the long-term potential is there and how are you thinking of that as a driver of revenue?
Garrett Smallwood: Over the long-term, yes, we certainly think it can get back to 70%. I think that we see headlines all the time about this business getting back to office, that business getting back to office. But that's all anecdotal, right? The Kastle Back to Work Barometer is kind of the thing that we're focusing most on and measuring against. So we're going to kind of invest in whatever the fastest moving water is. You've seen wellness kind of be that over the last 12, 18, maybe 24 months. So in 2024, which is really kind of a resumption of the growth story, you'll see us investing behind whatever has the highest returns. So if the Kastle Back to Work Barometer is still at the 50% level, I think that we'll scale our investments appropriately across the different kind of business lines. If we see more momentum in kind of the return to office in January, and that's the timeline the businesses are on and then certainly we're going to put firepower behind the services segment.
Jack Cole: And then maybe switching gears in terms of the premium price point. Are you seeing any pushback from customers on the $14.99. I noticed the premium penetration went down from 55% to 54%. Just kind of maybe a little bit more color on that. And do you think that you'll stay around that $14.99 for a little bit here. Presumably, it will continue to rise long-term, but just any color on the premium pricing would be great.
Garrett Smallwood: Yeah. So I would say the 54% was still above kind of our internal targeting. I think that we're happy anywhere in the kind of 40% to 50% range is kind of our guide post. So 54% is well ahead of internal expectations. In terms of pricing, no real pressure. The kind of mix of services in the summer can be more travel-based as opposed to in-office based that's going to be more of a sitting and boarding as opposed to walking, so there's kind of some dynamics there. But all around, I think we're really happy with the price and customers seem really happy with the value they're getting.
Operator: Our next question comes from Greg Pendy with Chardan.
Greg Pendy: Just one real quick. Just as you called out seasonality in your financial outlook, can you just give us any color on any meaningful differences? I know we could back into the revenues. But just in terms of expenses on overnight versus daytime services? And then secondarily on that point, is there any opportunity you think to grow overnight with sort of a growing premium penetration?
Garrett Smallwood: Yeah. So as it pertains to seasonality, the sitting and boarding business, which is effectively a travel business is going to be Q4 heavy, as you might expect. Yeah. So if the walking business is a derivative of office occupancy and the sitting and boarding are a derivative of travel, certainly, we're going to be investing behind the kind of travel adjacent businesses, right? So we think there's a lot we can do in terms of ecosystem and caregiver tools to help them promote themselves and build their business. So yeah, we think that it's a big market and there's lots of opportunity to grow.
Greg Pendy: Okay. And can you give us any kind of rough estimates on where you think you are in penetration in boarding versus the market size? Just so we get an idea of how big or what type of opportunity that could be?
Garrett Smallwood: So again, taking a step back, Wag! started with on-demand dog walking in the U.S. in a few cities, expand very quickly. People end up falling love with it, using it 4 to 5 times a month. And we're really now just realizing that customers want us for everything else, which is why over the last few years, you've seen us launch things like 20, 30 and 60 minute drop-ins, one-on-one training, personalized pet advice with pet experts. Specialty Services in the last quarter or two, which is things like trail running and photos with your dog and all kinds of really cute requests. And I think if you look at the new app and kind of how we're designing things, you'll see us put the caregiver more front and center, which is really a function of just giving people choice. And we think leads us to more kind of sitting and boarding request another kind of episodic request now that we have the customer locked in with premium. We're really early. As a reminder, our business is majority kind of on-demand or daytime services. And so we're really, I think, if anything, kind of less than 5% penetrated in the travel category, and there's a long way to run there. So very excited about the opportunity, and you'll see kind of consistent changes in the product experience, which we think will make us more competitive for the customer.
Operator: This concludes today's Q&A session. I'd now like to turn the call back over to Garrett Smallwood for any closing remarks.
Garrett Smallwood: Thanks, everyone, for another quarter. This is almost our 1-year anniversary. So it's been fun, and we look forward to the next one. Thanks so much.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.